Operator: Ladies and gentlemen, thank you for standing by. Welcome to Partner Communications' Fourth Quarter and Full Year 2019 Results Conference Call. All participants are present in a listen-only mode. [Operator Instructions] Following management's formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded.I would now like to turn the call over to Mr. Gideon Koch. Mr. Koch please begin.
Gideon Koch: Thank you. And thank you to all our listeners for joining us on this conference call to discuss Partner Communications' annual and fourth quarter results for 2019. With me on the call today is Isaac Benbenisti, Partner's CEO; and Tamir Amar, our CFO. Isaac Benbenisti will provide an update on how the Company is managing the global health crisis and an overview of our results for 2019. He will then hand over to Tamir, who will provide a more detailed discussion of our fourth quarter and annual results, as well as the impact of the global health crisis on our business. And finally, we'll move on to the Q&As.Before we begin, I would like to draw your attention to the fact that all statements in this conference call may be forward-looking statements within the meaning of Section 27A of the U.S. Securities Act of 1933 as amended, Section 21E of the U.S. Securities Exchange Act of 1934 as amended, and the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995.Regarding such forward-looking statements, you should be aware that Partner's actual results might vary materially from those projected in the forward-looking statements. Additional information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are contained in Partner's press release dated March the 26th, 2020, as well as Partner's filings with the U.S. Securities and Exchange Commission on Forms 20-F, F-1, and 6-K, as well as the F-3 shelf registration statement, all of which are readily available.I would also draw your attention to the fact that Partner has filed its annual report for 2019 on Form 20-F with the SEC earlier today. Please note that the information in this conference call related to projections or other forward-looking statements is subject to the previous Safe Harbor statement as of the date of this call.For your information, this call is being broadcast simultaneously over the Internet and can be accessed through our website.I will now turn the call over to Partner's CEO, Isaac Benbenisti. Isaac?
Isaac Benbenisti: Thank you, Gideon. Good day everyone and welcome to our earnings conference call. The year 2020 started with an extraordinary global health crisis of unprecedented scope and impact on the global and domestic markets.Partner’s entry point in this exceptional situation is relatively good, compared to the market in light of our net debt which totals NIS 957 million and our level of cash, which is significantly higher than our interest and principal payments for the coming two years.We have also changed, where necessary, the nature of operations to support the continuation of business operations during this period and we have taken steps to adjust the company’s spending structure to the new reality.At the same time, we are looking ahead and preparing for the nature of the operations the day after. Those days, we continue to provide millions of our customers with the infrastructure which is so critical for all of us – stable, reliable and fast communication. We are experiencing a significant increase in the use of our services, cellular, internet and TV.We ended 2019 with growth of fixed-line segment revenues, an independent fiber optic infrastructure that already reaches approximately 600,000 households, and already 199,000 subscribers connected to the Partner TV, the fastest growing TV service in Israel also in 2019.In the Cellular segment, we ended 2019 with an increase of 11,000 subscribers, while we successfully implemented our subscribers’ value strategy, which results in an increasing subscriber loyalty and the lowest churn rate since 2011, totaling 7.2% in the fourth quarter and 31% for the entire year.I will now like to turn the call over to Tamir Amar for a detailed review of our financial results. Tamir, please?
Tamir Amar: Thank you, Isaac. Good day everyone, and welcome to our earnings conference call. During 2019, Partner continued to strengthen its position as a comprehensive telecommunication group which was reflected, among other elements by the significant continued growth in the company's growth engines which includes TV services and the fiber optic infrastructure, and the stabilizing trends in the cellular markets.Although profit for the quarter decreased by 63%, compared to the same quarter in the preceding year, the fourth quarter results reflected the continued positive trend with services revenues growth in the fixed-line segment adjusted EBITDA, the continued improvement in the Cellular segment operating results and positive free cash flow.In the Cellular segment, we continued to reduce erosion in cellular service revenues, alongside a decline in churn rates, which totaled 7.2% in the fourth quarter of 2019 and 31% for the year 2019, compared to 8.5% in the fourth quarter of 2018 and 35% for the year 2018.In addition, we recorded growth in the subscriber base both in the fourth quarter and the year, as well as relatively low erosion in ARPU, which totaled NIS 55 in the fourth quarter of 2019 and NIS 57 for the year 2019, compared to NIS 57 in the fourth quarter of 2018 and NIS 58 for the year 2018.These results reflected the progress we are making in executing the company's strategy to increase value for the customer, to focus on continued improvement in service and expand our product offering, despite the continued competition during 2019.Adjusted EBITDA in 2019 totaled NIS 853 million or NIS 696 million excluding the impact of IFRS 16, compared to NIS 722 million in 2018. This outcome reflects the company's strict control over its OpEx while it expands into new areas of activity.Adjusted EBITDA increased in the fourth quarter of 2019 and totaled NIS 217 million, or NIS 177 million excluding the impact of IFRS 16, compared to NIS 172 million in the fourth quarter of 2018. The improvement in the fourth quarter result - resulted mainly from the increase in adjusted EBITDA in the fixed-line segment, alongside stability in the Cellular segment.The company's balance sheet reflected net debt of less than NIS 1 billion and a low net debt-to-adjusted EBITDA ratio of 1.1 at the end of 2019.In the beginning of January 2020, the company successfully completed an equity raise of NIS 276 million, net, with the purpose of supporting the company's growth engines and of preserving our competitive advantage and thus being prepared for the new growth opportunities.Adjusted free cash flow before interest in 2019 totaled NIS 49 million. We continue to invest in fiber optic deployment and even accelerated deployment in 2019. This investment was possible due to our financial strength and strong balance sheet and it positions us at the technological forefront in Israel, as reflected in the continued growth in our TV subscriber base, which stands at 199,000 subscribers as of today, and in the sustained high deployment rates of our fiber optic infrastructure which reached today 600,000 households across Israel.Regarding the Coronavirus crisis, from the beginning of March 2020, the crisis began to have a harmful effect on our business, revenues and results from operations. In particular, the significant fall in the volume of international travel by our customers has began to cause a decrease in revenues from roaming services, and the closure of shopping malls has began to affect the volume of sales of equipment and service revenues.To-date, the impact has been limited, since the crisis only began at the beginning of March 2020. In addition, the impact has been mitigated by a number of measures we have taken, including cutting costs and sending a large quantity of employees on unpaid leave.However, should these trends continue, the reduction in roaming revenues and in sales of equipment and services, together with an increase in bad debts that is likely to be caused by the high level of unemployment in Israel as a result of the Coronavirus crisis, may have a material harmful effect on our results of operations and financial position for 2020.I will now be happy to open the call for questions. Moderator, please begin the Q&A.
Operator: Mr. Benbenisti, would you like to make your concluding statement?
Isaac Benbenisti: Yes. Thank you very much for joining our call. I wish all of us to see in our upcoming meeting in – at the next quarter. We will meet in better times and I promise to do utmost efforts that will be at the best position. So, thank you everybody and see you later.
Operator: Thank you. This concludes Partner Communications fourth quarter and full year 2019 results conference call. Thank you for your participation. You may go ahead and disconnect.